Operator: Good afternoon. And welcome to the Fourth Quarter 2018 Customers Bancorp Incorporated Earnings Call. Today’s call is being recorded. At this time, I would like to turn the call over to Mr. Bob Ramsey, Head of Investor Relations for Customers Bancrop. You may begin.
Bob Ramsey: Thank you. Before we begin, we would like to remind you that some of the statements we make today may be considered forward-looking. These forward-looking statements are subject to a number of risk and uncertainties that may cause actual performance results to differ materially from what is currently anticipated. Please note that these forward-looking statements speak only as of the date of this presentation and we undertake no obligation to update these forward-looking statements in light of new information or future events, except to the extent required by applicable securities laws. Please refer to our SEC filings, including our report our Form 10-K and 10-Q for a more detailed description of the risk factors that may affect our results. Copies may be obtained from the SEC or by visiting the Investor Relations section of our website. At this time, it’s my pleasure to introduce Customers Bancorp’s CEO, Jay Sidhu. Jay, the floor is yours.
Jay Sidhu: Thank you, Bob, and good afternoon, ladies and gentlemen. Thank you so much for dialing in into the Customers Bancorp Q4, as well as the full year 2018 investor call. Joining me here today in Pennsylvania are Dick Ehst, the President and Chief Operating Officer of Customers Bancorp; Carla Leibold, Customers Bancorp CFO; Bob Ramsey, who you just heard from, he’s also BankMobile CFO. And also joining us today from our offices in New York City is Luvleen Sidhu, the President and Chief Strategy Officer of BankMobile. I will first briefly discuss highlights of Q4 2018 and the full year 2018 with you and then provide updates on our strategic priorities we discussed with you at our Analyst Day in New York on October 15th last year. Carla will provide more details on our financial results later on. Starting with Q4 2018, as you know, we reported core consolidated earnings of $0.53 a share, with Customers Bank reporting $0.62 in core EPS for Q4 and BankMobile reporting an operating loss of $0.09 for the fourth quarter. For the full year 2018, Customers Bancorp reported $2.43 in core operating earnings, with Customers Bank reporting $2.75 in core earnings and BankMobile reporting an operating loss of $0.31 a share for the full year. In 2018 as planned and during a period of consistently rising interest rates with a relatively flat yield curve, we still remained very disciplined on expense management, while maintaining a strong credit quality culture and growing our franchise and longer-term profitability, enhancing core deposits and commercial loans, only principally C&I loans. We ended the year with only about a 2.5% growth in non-interest expenses year-over-year and our credit quality remained very strong with year-end non-performing loans of only 0.32% of total loans. Our total deposits in 2018 grew more than our loans, with demand deposits growing by 22%, while we shrunk our reliance on CDs. We also reduced our average borrowings by over $1 billion in 2018. Our C&I loans grew about 20%, while we intentionally decreased our multi-family and non-owner occupied CRE by 10% during the year. Our C&I loans now make up 43% of total loans. Now on to our strategic priorities discussed at our Analyst Day. We are pleased to have started to make significant progress towards meeting all our priorities and developing the strong foundation towards strengthening the quality of our balance sheet, reducing our interest rate risk, having much stronger tangible equity to asset ratios, achieving an ROA of 1.25% in that range and monetizing our investment in BankMobile in a manner so it continues to grow, while our shareholders get a good return on Customers Bancorp’s investment in BankMobile. So let me take each of our strategic priorities and update you on where we stand. The first priority was creating shareholder value through improved profitability. By that, we are -- we mean that we want to target 1.25% ROAA over the next maybe four years, three years to four years. However, we believe improving our core ROAA from 0.82% in Q4 2018 to about 1% in Q4 2019 is really possible. We hope to get to 2.75% or higher margin by Q4 2019, up from 2.57% at the present time. This will help us achieve an ROAA of 1% or perhaps more by the end of 2019 and we are already assuming at least one Fed rate hike in the middle of the year in our assumptions. Now moving to our next strategic priority and that was focusing and growing our core banking operations. In 2018, we added five C&I and deposit teams throughout our franchise. We look to add a few more in 2019 and are looking at about a $1 billion growth in core deposits in 2019 and a corresponding decrease in wholesale deposits and our borrowings. On the lending side, we see about a $1 billion increase in C&I and consumer loans during the year, with a corresponding decrease in multifamily and non-owner occupied CRE loans. This we believe is definitely going to be increasing and improving our franchise and help us in growing our core banking operations. Now on to BankMobile, we expect BankMobile to generate a positive contribution to Customers Bancorp by fourth quarter 2019. We will continue to make investments in technology at BankMobile during the year and expect to add a few more White Label partners in 2019 in addition to a successful launch of our partnership with T-Mobile in 2019. Regarding capital management, we expect to end 2019 at about 7.5% TCE ratio. Our Board will continue to evaluate the best capital allocation options for us, including possible share buybacks to be restarted in 2019 and/or buying back or redeeming about $57 million of our preferred stock outstanding that becomes callable in the middle of 2020. I will come back and give you some more color on the future of CUBI, but first on to Carla to discuss with you the fourth quarter and full year 2018 financials. Carla?
Carla Leibold: Thanks, Jay, and good afternoon, everyone. I will start off with the fourth quarter and full year 2018 GAAP results. On a consolidated basis, our fourth quarter GAAP net income available to common shareholders was $14.2 million or $0.44 per diluted share. For the full year of 2018, GAAP net income available to common shareholders was $57.2 million or a $1.78 per diluted share. From a segment perspective, the Business Banking segment earned $17.5 million or $0.55 per diluted share for the fourth quarter and $70.7 million or $2.19 per diluted share for the full year of 2018. BankMobile reported a net loss of $3.3 million or $0.10 per diluted share for the fourth quarter and a net loss of $13.5 million or $0.42 per diluted share for the full year of 2018. Our fourth quarter GAAP results include certain notable items, such as executive severance expense of $1.9 million, a $1.2 million loss realized from the sale of $55 million of lower yielding multi-family loans, merger and acquisition related expenses of $470,000 and losses on investment securities of around $100,000, which are not included in our disclosures of core earnings and other core performance metrics. That being said, on a consolidated basis, core earnings for the fourth quarter were $17 million or $0.53 per diluted share. For the full year of 2018, core earnings were $78.5 million or $2.43 per diluted share. The Business Banking segment reported core earnings of $19.9 million or $0.62 per diluted share for the fourth quarter and $88.6 million or $2.75 per diluted share for the full year of 2018. BankMobile reported a core loss of $2.9 million or $0.09 per diluted share for the fourth quarter and a core loss of $10.2 million or $0.31 per diluted share for the full year of 2018. From an asset perspective, we ended the year at $9.8 billion, essentially flat from what we reported at December 31, 2017. We successfully remixed the assets and liabilities on our balance sheet. On the loan side year-over-year, we achieved C&I loan growth of $312 million or 20%, ending the year at $1.9 billion. Our consumer loan growth, including the residential mortgage portfolio was up $392 million, ending the year at $722 million. As planned, our multi-family loans at year end were $3.3 billion, a decline of $361 million or 10% and our non-owner occupied CRE portfolio declined $94 million or 8%, down to $1.1 billion. Also our commercial mortgage warehousing portfolio ended the year at $1.4 billion, a decline of about $388 million or 22%. On the liability side, we improved our funding mix replacing higher cost funding with lower cost core deposits from BankMobile, our digital direct bank and core business units. Total deposits at 12/31/2018 were $7.1 billion, an increase of $342 million or 5% year-over-year. Total demand deposits increased 22% year-over-year ending at $1.9 billion, money market and savings accounts increased 5% year-over-year ending at $3.5 billion and our CDs ended at $1.7 billion or a decline of 9% at year end. Moving on to our net interest margin, we reported a net interest margin of 2.57% for the fourth quarter of 2018. That’s up 10 basis points from the 2.47% that we reported in the third quarter. Excluding prepayments, that expansion increased 15 basis points from the third quarter 2018. Our NIM benefited by about 13 basis points from increased yields on the asset side, reflecting our disciplined strategy of running off the lower yielding assets and adding loans at a minimum of five and a quarter and also benefited from about 3 basis points on the funding side, mainly due to a favorable shift in our funding mix. Turning to credit quality, our core portfolio continues to perform remarkably well. At year end, non-performing loans to total loans 32 basis points and total charge-offs to average assets for 2018 was 4 basis points. So we are relatively flat from the prior year but continue to trend significantly below that of our peers. Provision expense for the fourth quarter of 2018 totaled $1.4 million. That amount was driven by the change in the mix of our loan portfolio and allowances for specific loans offset by improved credit quality and lower incurred losses than previously estimated. Looking forward to the expected growth of about $400 million of consumer loans in 2019, that growth is expected to come on earlier in the year resulting in provision expense being recorded upon origination of those loans, while the interest income will be earned throughout the remainder of the year. From a capital perspective, our capital ratios improved across the Board during the fourth quarter and as expected was relatively flat from the prior year. At year end, our tangible common equity ratio was 7.4% above the target amount of 7%. Also in December, we repurchased 719,200 shares of common stock at an average price of $18.04 per share, which was about 80% of our tangible book value at year end and represented about 2% of shares outstanding at September 30th. Subsequent to year end, we repurchased an additional 31,159 shares at a cost of about $18.35 per share. And with that, Jay, I will turn it back to you.
Jay Sidhu: Okay. Thanks so much, Carla. And before we open it up for questions-and-answers, let me summarize for you the investment highlights that our Board and our top management is really focused on at the present time. Number one, we believe we have dramatically improved the quality of our franchise and our balance sheet. We believe Customers Bank is a strong business bank that is using a very unique private banking single point-of-contact model, serving privately held businesses in attractive Northeast United States markets of New England, Metro New York, Greater Philadelphia and now starting to grow our share also in the Greater Washington D.C. area, as well as the Chicago markets. We have highly skilled teams with every team leader having somewhere between 15 years to 20 years or more experience serving our clients. Number two, we have a strong organic growth strategy and we believe we are using a model, which might become the bank of the future model that relies more on people, the experience level of those people, as well as technology that supports them, rather than relying on branches that typically only act as billboards for many banks and having ATMs for many banks. In our strategy, every other bank’s ATM is available to our customers to use, so we have more ATMs than any bank in the United States and we reimburse their ATM for an ATM expenses for them. Number three, we are significantly improving our margins and profitability during a period, where many in our industry are struggling to maintain margins and can only show growth through mergers and acquisitions. You should expect us to report like I stated earlier about a 1% or perhaps higher ROAA within the year, 2.75% or higher margin even with gradually rising rates like I shared with you we have already factored in at least one Fed increase in the middle of the year and a continuation of the flat curve and we think even with all of those, we think an ROAA in the range of 1.25% within three years or the latest four years is definitely achievable by us. Number four that we have things that we are focusing on is a strong risk management, continuation of strong risk management functions, beginning with maintaining strong credit quality, as well as lowering our interest rate risk position, especially managing the interest rate risk position in a flat to potentially an inverted yield curve. Number five is that BankMobile today is one of the very few, if not the only, disruptive digital bank that is attracting hundreds of thousands of consumers across America each year for checking accounts or demand deposits. This digital consumer bank should become profitable by the end of this year and in our opinion create substantial shareholder value for all Customers Bancorp shareholders. We have a lot of work to do to improve the effectiveness of our -- of BankMobile and we are very confident that the team is very focused on doing that. So today we are currently trading as you know at about 90% of our tangible book and only at about 9 times to 9.5 times the consensus 2019 street estimates of $2.21 a share for 2019. We are comfortable with these street estimates with the consensus estimates. But believe you are not going to see straight line quarters due to planned growth in consumer loans, as Carla mentioned, and we think those consumer loans will be put on by us in the first few months of 2019, where we will have to front-load provisions for growth and then enjoy the revenue growth in the later quarters. Also our BankMobile and mortgage warehouse business have seasonal characteristics that might create some chunkiness quarter-to-quarter. However, you should expect continuation of disciplined focus on expense management, continued growth in the franchise enhancing C&I and consumer loans during the year, stronger growth in core deposits and continued strong focus on risk management, especially credit quality. In 2020, we will also seriously look at crossing the $10 billion mark again with BankMobile becoming an independent bank no later than mid-2021. So, with that, now I would like to ask Jonathan to open it up for any questions any of you may have.
Operator: Thank you. [Operator Instructions] We will take our first question from Michael Perito with KBW.
Jay Sidhu: Hi, Mike.
Michael Perito: Hey. Good afternoon, guys.
Jay Sidhu: How are you?
Michael Perito: Thanks for taking the -- I am good. How are you?
Jay Sidhu: Good.
Michael Perito: Thanks for taking the questions. I had a few things I wanted to hit on. First, maybe starting on the BankMobile side, I noticed a comment in the release that you guys were going to start increasing the fee structure in that business to help, it sounds like boost revenues a little bit, and I was wondering, if you could maybe give us a little bit more color about what the plans are there and kind of the overall strategy?
Jay Sidhu: Luvleen, do you want to take that?
Luvleen Sidhu: Sure. I would be happy to. So, yes, we have decided to add fees starting in mid-February on the BankMobile Vibe account and the decision was really driven by the fact that we wanted to remain consistent with our vision and mission, which is to have affordable banking. So whatever fees that we put on, we made sure that we are substantially less than what competitors would offer and so that we are still living up to the affordable sort of banking solution. So today with the fee implementation starting in Feb, we would be adding a monthly fee of $1.99 a month and we give the option to be able to waive this if the student or the graduate deposited -- deposits $300 or more into the account. So it’s really an incentive for those that are engaging with the account. There is a way for them to be able to avoid this and it’s really trying to attract primary banking relationships and rewarding them for that. Additionally, we are adding an NSF fee of $24, and again, this is more than $10 below the national average for an NSF fee, we still feel very good about adhering to the affordability vision and mission again. But that being said, we do think that this is important for us to drive good behavior and we also will be very cognizant that if people are hitting the $24 fee that we provide a lot of education how they can avoid it in the future.
Michael Perito: Helpful. And then…
Luvleen Sidhu: Does that help?
Michael Perito: Yeah. That was very helpful. And then another question on BankMobile, maybe for Bob Ramsey, but I was curious, if you guys are willing at this point to offer a little bit more clarity on kind of the economics the T-Mobile partnership, maybe not -- and maybe it doesn’t have to be the partnership specifically, but just how we can expect the revenues and any associated expenses to kind of flow through and especially in light of it sounds like you guys are looking to add some more White Label partners. I think it would help to have a little bit more color on of -- in terms of what you guys are able to share anyway on what the kind of the geography and the income statement will look like for these partnerships?
Bob Ramsey: Sure. Mike, I will be happy to answer that. So as I think we have said in the past with these relationships, part of what we offer to our partners is the opportunity to have some sort of revenue share on the interchange piece of the overall revenues. And so what we will end up doing is we will get the full interest income of these relationships, so that will help our net interest income. There will be a share on the interchange piece and what you will see come to our income statement will be just our portion of the interchange income. And then on the expenses, there is some expense share as well, but what you will see in our income statement will be the expenses that we bear. So what you will see reported will be the pieces that are net to us and a revenue model that is predominantly driven for us by spread income.
Michael Perito: All right. That’s helpful. And then on the $5 million of deposits that you guys have already brought in with T-Mobile. Do you have any sense of kind of what the interchange activity was on that or I am not sure if you could share that or not, but just figured I’d ask?
Jay Sidhu: I think the, yeah, right now, Mike, we haven’t even started marketing these products. So this happens to be the early adapters or the ones who search the web, as well as the Apple stores, app stores and those kind of things for deals. So we will share some of that with you in the second half of the year. We think by the middle of the year, there is a very good chance that there will be enough activity for us to share with you, some more meaningful numbers.
Bob Ramsey: I would also add, Mike, that we really only started at the very end of November. So it’s only a little bit over a month that we have and with the time period of only a month, you have fairly given people enough time to fund accounts much less start to use debit cards and move things over. So I think the data that we have at this point is not really meaningful. I think, as Jay said, once we have got another six months to aggregate information and sort of see those account season just a little bit, we will have much better information to share with you.
Michael Perito: Fair enough. And then, just one last one, switching over to the customer side, just -- Jay, I just want to make sure I heard you correctly. So the consumer growth in 2019 -- consumer lending growth, you expect it to be front-end loaded, I think that’s what the release said and so the provision expense should start higher and then work its way down. But are you guys kind of providing any general thoughts about what the annual provision range will be just as we try to kind of conceptually visualize that number?
Jay Sidhu: No. We are not, because it obviously depends upon the quality of those loans and the FICO scores and the like, and whether they are secured or they are unsecured and to the segment, so we are going to be provisioning. It’s fair to say that we will get about maybe 70% or so of our numbers that we put in done in the first quarter and the other 25% will be in the second quarter. And then from there on out, we are simply going to monitor the performance of these loans versus our assumptions and expectations, and simply be maintaining those portfolios replacing only the run-offs. These consumer loans will have a yield of somewhere between 8% to 12%.
Michael Perito: Okay. So it actually sounds fairly dramatic then, so like the first half of 2019 should theoretically hold a majority of your annual provision expense next year?
Jay Sidhu: That’s correct. First quarter...
Michael Perito: Very helpful everyone. Thank you. I appreciate it.
Jay Sidhu: Yeah. Thanks. Thanks, Mike.
Operator: Thank you. [Operator Instructions] We will take our next question from Steve Moss with B. Riley FBR.
Steve Moss: Good afternoon.
Jay Sidhu: Hi, Steve. Good afternoon.
Steve Moss: I was wondering on the expected deposit growth here in 2019, kind of what do you expect in terms of the cost of deposit that will be coming on?
Jay Sidhu: Steve, we are focusing on maximum on non-interest bearing demand deposits, the majority of the deposits that will be coming on through the BankMobile division will be -- and our non-interest bearing are very low cost through our other franchises. Again, we are counting on about 30% to 40% of the deposits being below the market rates and about 30%, 40% of the deposits being at pretty close to market rates. So we are -- it’s very difficult -- we are just giving guidance on the margin. But we are not giving guidance, and it’s very difficult for us to predict the exact cost of just the deposits and yields on the different aspects of earning assets, but margin expansion is part of our story.
Steve Moss: Right. And then I was wondering, I believe you said in your prepared remarks, Jay, that you expect -- you are modeling one Fed rate hike in 2019. Just wondering, if the Fed doesn’t hike, what would you guys kind of expect the margin to be?
Jay Sidhu: We are slightly liability sensitive. So it’s going to be a help. So we are looking at one Fed rate hike in the middle of the year, and perhaps, one Fed rate hike in December of this year. So which will may or may not have an effect, but in our modeling, we have put that in.
Steve Moss: Okay. And then my third thing just on expenses here, it sounds like they are going to be pretty tightly controlled in 2019, are there any investments or projects you guys plan on adding in the upcoming year or is this a reasonable run rate for expenses in 2019?
Jay Sidhu: I think, we will be adding a few more teams, like, we have shared with you, to help us in all our existing geographic markets. We are not planning on expanding any of our geographic markets. And then in the risk management area, we are very, very focused on that, so that we look at adding some expenses in that area continuing to build our strength in risk management. And then in BankMobile, like I mentioned, we are continuing to spend -- make investments in the technology side of the business and we are also as we shared with you on our Analyst Day, we are going through a major strategic initiative on digitizing the bank with the intention of supporting our customer-centric single point of contact process with a much better technology expense, so ending up with a better experience for customers. So there will be a few expenses on that side. We are not focusing on adding any other people on to our staff besides the things that I just mentioned to you and so all of those things that we are talking about is for risk management or improved customer experience or higher revenues going forward.
Steve Moss: Great. Thank you very much.
Operator: Thank you. We will take our next question from Russell Gunther with D.A. Davidson.
Russell Gunther: Hey. Good evening, guys.
Jay Sidhu: Hi, Russell. Good evening.
Russell Gunther: Thank you. So just a quick follow-up on the consumer growth you touched on earlier. Could you guys give us a sense whether of the front-end loaded growth, is this all expected to be CUBI originated or could this include some portfolio purchase as well?
Jay Sidhu: I think it will be both.
Russell Gunther: Okay. And then -- thanks, Jay. And then just a general range if you could in terms of how you are thinking about where the reserve for this consumer book that’s coming on?
Jay Sidhu: So I think for -- we are not going to -- we are not putting on any subprime loans. So we are looking at, if they happen to be in the 6.80 to a 7.20 FICO, they will have a higher reserve and if they happen to be in the 7.20 to 7.60 FICO, they will have a lower reserve. All I can say is we are going to be conservative in our reserving and so you can figure that out from industry numbers what those are and so some other loans that we end up buying at a discount, but we will really like the quality and we will -- and they happen to be loans with the kind of customers that we want to develop a relationship with. In those cases we will use purchase accounting to set up. So it’s very difficult to give you a very definitive guiding -- guidance. But all we can tell you is we are comfortable with the street consensus estimates even with chunkiness in our quarter-to-quarter EPS.
Russell Gunther: Got it. Okay. Thanks, Jay. I appreciate that. Last one from me then is, just to switch gears to the core C&I growth, good success last year, obviously, a pretty steady growth outlook there. So just share with us please geographically where you’d expect that to come from, your overall growth strategy and then if you have any target included in there for additional teams?
Jay Sidhu: Yes. So that’s a good question. Also we are -- we have a very strong C&I franchise and our pipeline looks very good. I believe in the month of December to give you an idea we booked about $70 million of C&I loans and they were all above, on an average, above 5% yield, and right now, the pipeline is similar to what we saw happened in December. In terms of where they are coming from in geography, they happen to be all within our market area and within the existing lines of businesses for us, so New England and the New York market and Pennsylvania markets are all humming. The Chicago and the Washington markets are slightly slower as you would expect and but I think in 2019, we think they will being in this first year, completing the full -- one full year of opening up those, we expect in the second half of this year that their growth rates will increase. Now, our teams generate both loans and deposits, and in fact, our incentive compensation plan rewards them more for generating deposits than loans. And as you know, we have monthly profit and loss statements by teams, so perhaps, we will think about based upon your question to share with you a little bit more on a quarterly basis how our various teams are doing both on the deposit and the lending sides at the future calls.
Russell Gunther: That’s great. I appreciate you taking my question.
Operator: Thank you. We will take our next question from Frank Schiraldi with Sandler O’Neill & Partners.
Jay Sidhu: Hello, Frank.
Frank Schiraldi: Just a couple of questions on, first, I just wondered if you could remind us on the deposits, the end of period deposits versus last quarter. So we are at about $7.1 billion in deposits and then at September 30th, I think, you are up at $8.5 billion. I know you had some wholesale deposits you were going to run off, seems like you got a majority of that done just based on the commentary in the release here. But I thought that was only about $400 million done in the quarter. So if you could talk about the rest of that decrease, what’s making that up?
Jay Sidhu: Well, Frank, there’s seasonality to our deposits also, that’s one of the low points for BankMobile deposits, so that had an effect. And yes, you are absolutely right, we focused on having a lot of our municipal deposits and some of the other wholesale deposits run-off, the ones which did not have a term and we still have more of that to do. And that’s why we are sharing with you that we expect a $1 billion of growth and at the same time, you will see a $1 billion of run-off because we are -- or so -- I am not talking about exact numbers, but just directionally, which way we are going. So some quarters some dates, you may see us having certain deposits run-off and in the beginning of the year certain come in. In January, we have experienced about a $200 million -- $175 million to $200 million growth in non-interest bearing DDAs already. So will that stay on March 31st? I can’t tell you that. But those are the kinds of things which go on in our balance sheet. So, but we are pretty confident that you will see us improve the quality of our franchise and we are determined to make that happen.
Frank Schiraldi: Okay. Do you have available -- I can see where BankMobile -- I understand at the end of the year BankMobile is at a low point and I can see where those deposits were at $375 million at the end of the year. Do you have handy or can you provide where they were at September 30th, just so I can...
Jay Sidhu: Sure.
Bob Ramsey: Yeah. Frank, so -- and the last slide of our slide deck has actually got these deposit numbers…
Frank Schiraldi: Okay.
Bob Ramsey: If you need to pull them over the last couple of years, but they were $732 million at September -- at the end of September, so they were down by about, call it, $350 million, which is actually a little bit less than the decline in the year ago fourth quarter. So the same seasonal pattern that you see in this business this year and also we see in other years.
Frank Schiraldi: Okay. But, I guess, the contraction quarter-over-quarter is expected largely, it sounds like and has bounced back in the first quarter and there is no concern about funding levels, total deposit levels at this point?
Jay Sidhu: No concern.
Frank Schiraldi: Okay. And then just I wanted to ask about credit obviously remains really strong. It’s not a big number, but I did see that the C&I non-performing ticked up a little bit and there were some charge-offs as well in the C&I book. Is there any color you can give on that, is that all one relationship, anything you could provide would be helpful.
Jay Sidhu: There were two or three smaller loans, Frank, there even in the best of the times things happen and whether it’s for technology or whatever the lack of focus on management teams. So all we can say is we think we are in the times, as you know, which is the best of times for credit quality, it can only get worse. So these are the times that you focus on keeping a very strong eye on the credit quality, that’s why you heard us talk about that that is an area we will never get our eye off and that risk management practices to us is in our DNA and it’s very important for us. So all we can say to you is we are expecting non-performing loans to move up, but not because of any unique situation in our company, but because we think it only has one way to go.
Frank Schiraldi: Right. And I guess just how you are feeling just in general about the larger economy here, I mean, people talk about being late cycle certainly at this point, economic numbers look pretty strong, obviously in the U.S. at least, just curious, your thoughts about where we are in the cycle and what you are seeing from your borrowers.
Jay Sidhu: Actually, that’s a very good question. We keep asking ourselves that question. There is no doubt in our minds that the economy will remain cyclical and we will have slowdowns and we are not seeing anything, which makes us believe that that will happen in any significant way in 2019. In our own modeling, we are assuming that to be a 2020 type of a timeframe for a slowdown. But guess what, two years ago it was 2018 and 2019 that we were expecting a slowdown in our modeling. So that can change. But we believe there is a pretty good chance, the global economies and our clients, we don’t have too many clients which are doing international trade, but those who are, they are concerned about what will happen over the next six to 12 months. And so now temporarily the short-term in certain markets, in the major metropolitan areas, where there is a larger number of federal employees, we are seeing some impact of them struggling, because we are offering benefits and we want to help our fellow citizens who are having a difficult time and we have developed a program along those lines and we are seeing some people take advantage of it. So bottomline, it should be a steady economy this year with some clouds in the horizon.
Frank Schiraldi: All right. Thank you.
Operator: Thank you. [Operator Instructions] We will take our next question from Bill Dezellem with Tieton Capital Management.
Bill Dezellem: Thank you. I had a couple of questions.
Jay Sidhu: Hi, Bill.
Bill Dezellem: First of all, relative to the White Label business, how many stores did the T-Mobile started out with their beta testing?
Jay Sidhu: Bill, right now, the beta test is really a truly beta test, which is just opening up and seeing with their internal folks, friends and family, so it’s not available at any of its stores yet.
Bill Dezellem: That’s helpful. And is T-Mobile accepting accounts simply from the general public or are these friends and family somehow tied to T-Mobile, the carrier maybe not an employee, but the carrier itself with an account -- a phone account?
Jay Sidhu: No. No. Bill, you can go in and download the app and you can open up an account tonight and so if somebody -- it’s not limited. But all I am saying is the promotion or the awareness is all internal. There is no marketing…
Bill Dezellem: Okay.
Jay Sidhu: Nothing, but yes, anybody and that’s how the -- we have had, I think, somewhere 15,000 to 20,000 who have already opened up the account to-date.
Bill Dezellem: And of those accounts…
Jay Sidhu: Without any promotion, that’s more than what 95% of the banks in United States have opened in checking accounts in the last 30 days or 60 days.
Bill Dezellem: Right.
Jay Sidhu: That’s the power of this and from the funded accounts, so we are seeing that they are funding at assumed average balances and we are not disclosing any of those yet, but they are coming in at those kind of levels. So this is a real beta test before the marketing starts.
Bill Dezellem: That is helpful. And when you look at those accounts that have opened, is it concentrated in particular geographic regions or evenly spread across the country?
Jay Sidhu: No. They are from all over the country.
Bill Dezellem: Great. Thank you. And then I do want to shift to the student side of BankMobile for a moment, if I may, what proportion of the accounts today do not deposit the $300 each month to have the fee removed?
Bob Ramsey: Yeah. Bill, it’s -- today there is not a substantial proportion of the accounts of our meeting that deposit hurdles, certainly our hopes though that with the incentive here to avoid fees, that more students will choose to make this an account that they use as a primary or at least use more frequently and put more money in that. So we would love to see that number be 100%, but today, it’s a very small percentage of the total.
Jay Sidhu: And Bill, our fees and the incentives are -- will actually go into effect, as I think Luvleen mentioned around 15th of February.
Bob Ramsey: In the back half of February, yeah.
Bill Dezellem: Right. So let me just make sure I understand the math correctly. If all of this -- all of the students were to deposit the $300 per month, that would -- since you have roughly a 1 million accounts and a very few and I am going to round down to say zero are depositing $300 a month, that would imply that you would have $300 million of incremental deposits each month. Is that the correct math?
Jay Sidhu: If everybody does it, it’s a correct math and we are thinking it will be -- someday it will start off in the 5% to 20% range. And in the beginning, in the first couple of months if we reach somewhere in that 5% to 10% range, it’s a success and it will be gradual after that. But you are absolutely right. The potential as Luvleen mentioned is to really make them the primary checking account customers. So that potential is very good, once -- because once they graduate, all they have to do is get either deposit one way or another that much and they will have an awesome account. And once we get more benefits through our White Label partners, including T-Mobile and make them available to these clients, it’s going to add more value to having the banking relationship with BankMobile.
Bob Ramsey: And Bill, I would just add in your hypothetical example, there is a two-fold benefit and that we are not going to have $300 million every month because the students will spend the money that they deposit, but that spend will benefit our interchange income and so you would see a substantial increase in a hypothetical scenario in our fee income in addition to the benefit in deposit balances.
Bill Dezellem: Right. Okay. That’s quite helpful. And then I am going to take my hypothetical and completely reverse it and make the assumption that, again, that no students are depositing currently the $300 a month, which I recognize is not accurate. But if that were the case, that $1 million or the 1 million accounts would lead to approximately $2 million per month of incremental fee and if one works that out, on an annual basis…
Jay Sidhu: Bill, I will…
Bill Dezellem: Pardon me.
Jay Sidhu: Yeah. I think that’s theoretically possible, Bill, but we have a lot of students who drawdown their accounts, which is about 20% to 25%, 30% of the students. Sometimes the money comes in and it becomes a very low balance, zero balance and we have decided not to charge fees and not to let these accounts get into negative because that is not a consumer-friendly strategy. And so those folks, if they have $5 in their account or $2 in their account, we are not going to necessarily take it down to zero and but we will try to encourage them to become a primary customer. So, but you are right, theoretically whatever are the balance customers, everybody if they don’t deposit will be paying $1.99 a month fee.
Bill Dezellem: Which is roughly $0.50 a share annually of earnings, something in that neighborhood?
Jay Sidhu: Theoretically possible.
Bill Dezellem: Right. And so then realistically, so if we move out of the theoretical world, that’s really putting the bracket around the potential from $300 million a month of deposits to $0.50 a year of incremental earnings per share and it likely falls somewhere in between, which leads to higher fees from the $1.99, but hopefully also higher fees from the interchange fees that would come from making this primary account.
Jay Sidhu: That’s correct.
Bill Dezellem: Thank you both for the time.
Operator: Thank you.
Jay Sidhu: Thank you.
Operator: Thank you. [Operator Instructions] At this time, I am showing no further questions in the queue.
Jay Sidhu: Good. Well, thank you very much, ladies and gentlemen for calling in and please give us a call or email us if you have any further questions. Thank you so much and have a good evening.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may now disconnect.